Operator: Thank you for standing by. My name is Jayle, and I'll be your conference operator today. I'd now like to pass the call off to Robert. Please go ahead.
Robert Wright: Good morning, and welcome to the Delek US third quarter earnings conference call. Participants joining me on today's call will include Avigal Soreq, President and CEO; Joseph Israel, EVP, Operations; and Mark Hobbs, EVP, Chief Financial Officer. Today's presentation material can be found on the Investor Relations section of the Delek US website. Slide 2 contains our safe harbor statement regarding forward-looking information. Any forward-looking information shared during today's call will include risks and uncertainties that may cause actual results to differ materially from today's comments. Factors that could cause actual results to differ are included here as well as within our SEC filings. The company assumes no obligation to update any forward-looking information. I will now turn the call over to Avigal for opening remarks. Avigal?
Avigal Soreq: Thank you, Robert. Good morning, and thank you for joining us today. In the third quarter, excluding SREs, Delek reported strong adjusted EPS of $1.52 and adjusted EBITDA of approximately $319 million. These results are a reflection of Delek's strong momentum. We had excellent contribution from our enterprise optimization plan with a notable progress from all business units. As a result, we are again increasing our EOP guidance to at least $180 million on an annual run rate basis. During the third quarter, EPA approved several of our pending 2019 to 2024 SRE petition, and we expect to receive proceeds of approximately $400 million for monetization of the granted RINs. We are also encouraged by the guidance EPA has issued about SREs for future RVO. From everything we see today, we continue to expect appropriate action on SREs in the future. Some of the part efforts also continue to progress well. DKL continued to make progress in improving its premier position in the Permian Basin. As a result of the strong progress DKL has made this year, we are increasing DKL's full year EBITDA guidance to between $500 million and $520 million. As I always do, I will now give an update on our key long-term priorities in more detail. First, safe and reliable operations. We had a strong operational quarter in our refining system. SRE had a record throughput quarter, and it's continuing its strong momentum since its turnaround last year. Congratulations across Tyler, El Dorado, and Big Spring also had strong operations. Now I would like to discuss our EOP progress. As a reminder, we started EOP with an aim to improve DK cash flow by $80 million to $120 million on a run rate basis, starting in the second half of 2025. The structural changes we are making in the way we run our company are delivering meaningful results across all business units. In the third quarter, supply and marketing had a strong contribution, driven by structural improvement in our wholesale business. We are very proud of the way the commercial team is looking in the entire wholesale value chain to serve our customers. During the third quarter, we estimate approximately $60 million of EOP contribution to our P&L. Based upon these strong results, we are once again increasing our target of an annual run rate EOP improvement from the midpoint of $150 million to at least $180 million. I'm proud of how EOP has become a cornerstone of Delek continuous improvement culture, and I'm confident EOP will remain a core strength well into Delek future. As I mentioned before, during the third quarter, the EPA cleared the backlog of pending SRE petition from 2019 to 2024. We see this announcement as a critical part of the current administration and EPA energy policy. This SRE announcement have 3 important implications for our business. First, for the grant years of 2023 and 2024, we have followed a proactive strategy to monetize the granted RINs. We expect to receive approximately $400 million in proceeds from this monetization over the next 6 to 9 months. We intend to prudently use this cash flow in line with our consistent capital allocation framework. For years 2019 to 2022, while we appreciate EPA granting our petition, EPA remedy is invalid and encourage the strategy followed by our peers who chose not to comply. We are making efforts to get full value from these grants in line with the intention of the RFS law. I'm confident EPA will continue its methodical approach to SRE grants, furthering energy dominance and supporting high-paying jobs in the heart of rural America. I'm also proud of the progress DKL is making. With commissioning of DKL Libby 2 plant, and the completion of intercompany agreements, we are making great progress in making DK and DKL economically independent. We are working in an industry-leading comprehensive sour gas solution, including gathering, treatment, acid gas injection acid gas injection, and processing along with providing market access for residue gas and NGLs. This capability will provide DKL the ability to fully capitalize on all of its growth opportunity in the Delaware Basin and maintain its best-in-class EBITDA growth and distribution yield. Based on the progress Delek Logistics has made, we are increasing DKL full year 2025 EBITDA guidance to between $500 million and $520 million. This final piece of our strategy is being shareholder-friendly and having a strong balance sheet. During the quarter, we paid approximately $15 million in dividend and bought back approximately $15 million of our shares. Our strong balance sheet, improved reliability, and confidence in EOP has enabled us to continue countercyclical buyback in 2025. I'm proud to say that over the last 12 months, Delek had the highest total return yield, buyback plus dividend among all of its refining peers. We remain committed to a disciplined and balanced approach to capital allocation and look forward to continue rewarding our shareholders. In closing, thank you to our team for their dedication. We are optimistic about finishing 2025 strong, and building on this momentum into the future. Now I will turn the call over to Joseph, who will provide additional color on our operations.
Joseph Israel: Thank you, Avigal. Operations reliability in the third quarter was consistent with our guidance with the third consecutive record high throughput set in Krotz Springs. Our refining system continues to implement EOP initiatives at all sites. We have been successful in debottlenecking, improving liquid yield recovery, maximizing production value, and optimizing sulfur and benzene balances. At the same time, the commercial team has reworked contracts and optimized our new logistics to expand market optionality. Starting with Tyler, total throughput in the third quarter was 76,000 barrels per day. Our production margin was $11.32 per barrel and operating expenses were $4.93 per barrel. For the fourth quarter, our estimated total throughput in Tyler is in the 70,000 to 78,000 barrels per day range. In El Dorado, total throughput in the third quarter was approximately 83,000 barrels per day. Our production margin was $7.43 per barrel and operating expenses were $4.50 per barrel. EOP implementation is well reflected in our margin realization as we continue to trend toward our $2 per barrel of incremental capture in our El Dorado system. Our planned throughput for the fourth quarter is in the 67,000 to 75,000 barrels per day range, considering seasonal trends. In Big Spring, total throughput in the third quarter was approximately 70,000 barrels per day. Our production margin was $10.99 per barrel and operating expenses were $7.20 per barrel. In the fourth quarter, the estimated throughput is in the 62,000 to 70,000 barrels per day range. In Krotz Springs, total throughput in the third quarter was approximately 85,000 barrels per day. Our production margin was $9.01 per barrel and operating expenses in the quarter were $5.35 per barrel. Our planned throughput for the fourth quarter is in the 72,000 to 80,000 barrels per day range. Our implied system throughput target for the fourth quarter is in the 271,000 to 303,000 barrels per day range. This late outlook for the fourth quarter is strong as we are pushing our 42% distillate capability system accordingly. Moving on to the commercial front. Excluding SREs, supply and marketing contributed approximately $130 million in the quarter. Of that, approximately $70 million was generated by wholesale marketing. Asphalt contributed a gain of approximately $6 million with the remaining contribution coming from supply. In summary, the third quarter marked another successful execution of our operating plans. The focus on the fundamentals has allowed us to focus on capture improvements through EOP. Mark will now address the financial variance.
Mark Hobbs: Thank you, Joseph. Referring to Slide 5, we show the breakout of adjusted EBITDA and adjusted EPS, approximately $319 million and $1.52 per share, respectively, excluding SREs. This breakout removes the impact of historical SREs of $281 million and the impact of 50% RVO exemption recognition for the first 9 months of 2025 of approximately $160 million. Moving to Slide 16. For the third quarter, Delek had net income of $178 million or $2.93 per share. Adjusted net income was $434 million or $7.13 per share, and adjusted EBITDA was approximately $760 million. On Slide 18, the waterfall of adjusted EBITDA from the second quarter of 2025 to the third quarter shows that there were 3 main drivers for the increase in EBITDA. First, a $583 million increase in refining, reflects improved refining margins as well as an increase of $281 million due to our recognition of historical SREs, the $160 million impact of our 50% RVO exemption recognition and improvement in our overall business that continues to be positively impacted by our EOP initiatives. Second, in the Logistics segment, we continue to have another strong quarter, delivering approximately $132 million in adjusted EBITDA, about an $11 million increase over our previous record of quarterly adjusted EBITDA achieved in the second quarter. These improvements were mitigated by slightly higher cost in the Corporate segment of $5.2 million compared to the prior period. Moving to Slide 19 to discuss cash flow. Cash flow provided by operations was $44 million. This includes our net income for the period, adjusted for noncash items and a net outflow related to changes in working capital of $106 million. The working capital movements include the timing impact related to SREs granted in the third quarter as we expect monetization of the grants to occur over the next 6 to 9 months. When adjusting for working capital, cash flow from operations was $150 million. This was an improvement of $202 million when compared to the third quarter of last year. Investing activities of $103 million includes approximately $44 million for growth projects, primarily at DKL. Financing activities of $75 million includes $15 million in share repurchases, approximately $15 million in dividend payments, and approximately $22 million in DKL distribution payments to public unitholders. On Slide 20, we show our actual progress under the 2025 capital program. Third quarter capital expenditures were $91 million. Approximately $50 million of this spend was in the Logistics segment, where we had $44 million in growth capital at DKL, primarily related to our crude and natural gas G&P initiatives. All of the remaining capital spend during the quarter was in the Refining segment, addressing planned sustaining capital initiatives. Our net debt position is broken out between Delek and Delek Logistics on Slide 21. Excluding Delek Logistics, we spent approximately $71 million on cash return to shareholders and capital expenditures in the third quarter, while our Delek stand-alone net debt decreased slightly to $265 million at the end of the quarter. Moving now to Slide 22, where we cover fourth quarter outlook items. In addition to the guidance Joseph provided, for the fourth quarter of 2025, we expect operating expenses to be between $205 million and $220 million. Our guidance for the fourth quarter incorporates increased operating expenses associated with the ramp-up of our new Libby 2 plant at DKL. G&A to be between $52 million and $57 million. D&A is expected to be between $100 million and $110 million. And net interest expense to be between $85 million and $95 million. With that, we will now open the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Doug Leggate of Wolfe Research.
Douglas George Blyth Leggate: Hopefully, I'll make this relatively easy. I've got 2 questions related to the SREs. Obviously, tremendous update from you guys this morning. But my question is on the refining throughput guidance, because you've given an RVO risk number, it looks like, for 2025. But it looks like all 4 of your refineries are basically going to be at or below the SRE threshold. So my question is, if that's the case, why should we not risk the RVO at 100%, in other words, you get 100% of the number? And then I guess, how should we think about that going forward? That's my first question. My second question is really more -- is kind of hypothetical, I guess, because we've got a Trump EPA currently. So presumably, because you've gained the SREs under the Trump administration, the minimum we should probably assume is you get the Trump EPA duration, which I guess is 4 years. My question is, what is your view on whether the rulemaking, the legal case and so on could transcend administrations? In other words, this becomes a perpetual SRE exemption for Delek.
Avigal Soreq: Doug, thank you for the great question. And I will start, with your permission, obviously, with giving a bit overview on SRE and looking that on the big picture, and then Mohit will finish the technical part of the question, if you're okay with it. So listen, we said it very clear on our financials that we have $200 million impact on Q3 earnings, right? And we also -- I said on my prepared remarks that we have $400 million of cash coming at us in the next 6 to 9 months. And I want to make another point very, very clear, right? We're going to use this cash prudently with -- in line with our overall capital allocation guidance we gave many times. So we are not going to deviate from that. So I wanted to take a moment or 2 to talk about the 2019 and 2022 RINs. While we really appreciate EPA clearing the backlog, obviously, EPA remedy is invalid. We all understand it, right? It's very clear. But we believe that the relief and eligibility are not discretionary items. That's a very, very 2 words that I just -- very important 2 words I just said. And we are committed and confident to give to our shareholders and company full value of those pending petition from 2019 to 2022, both the court and the law are behind us, and we're going to follow through and make it happen. We have seen the precedence in the past around that, and we are confident we'll get it as well. Our throughput is completely normal with regular seasonal, so we can check that box. And I will let Mohit finish.
Mohit Bhardwaj: Yes. Thanks, Doug. Thanks for the question. As far as the 50% piece is concerned for 2025, that is not our expectation. Our expectation is 100% of our refining capacity qualifies for SREs, and we expect to get 100% of SREs for 2025 as we go forward. If you look at your other question about sustainability of these SREs beyond the current administration, we believe we are a country of law where the law is followed, and the law is clearly on our side. The courts, their decision is on our side, and we are very optimistic that this will transcend beyond the current administration.
Operator: Your next question comes from the line of Manav Gupta of UBS.
Manav Gupta: Congrats on a great quarter, guys. I just have a quick clarification question. The $688.6 million reported in total adjusted refining margin for the quarter, does it include the SRE benefits? Or does that exclude it? And similar -- and on similar line, the Slide 17, the margins that you have reported gross margin, it doesn't look like they have any SRE benefits. But could you clarify because some of your peers are reporting these gross margins with the benefits included. So if you could clarify on those things.
Avigal Soreq: Yes, it's easy, $688 million includes and the margin that we reported do not include. So it's very, very easy to answer. I don't know, Mohit or Mark, if you have anything to add.
Mohit Bhardwaj: Yes. Manav, I'll just make one more point. So the reported gross margins for the refineries actually also have the RVO obligation in it. So the RVO obligation that we have flows through our gross margin. So they are post that obligation. That's what we are reporting.
Manav Gupta: And one quick question more. I understand it's more on the midstream side. But look, Permian Sour Gas opportunity just continues to expand. You guys were there before many others. Help us understand what it means for, obviously, your midstream business, and then obviously, how DK benefits just because DKL benefits from this growing Permian Sour Gas opportunity?
Avigal Soreq: Yes. Manav, thank you for the great question. And the sour gas opportunity in the Delaware Basin is something that we are all very excited of. We see that opportunity. We were ahead of the curve with the 3B -- 3Bear acquisition, and also ahead of the curve with the [ 2 Water ] acquisition. You see they multiple today, nothing that you can buy those assets today. [ Reuven ], here next to me, is going to give more extended discussion about the sour gas. That's a very big deal for us, and we were on the right timing with the right permits, and we are very happy about that.
Unknown Executive: Thank you, Avigal. The construction and the start-up of Libby 2 has been above our expectation, on time, on budget. Originally, and based on producers' forecast when we started Libby 2, we anticipated to fill the plant with sweet gas, but the landscape has changed and producer needs solution and rapid solution for sour gas. As a result, we accelerated our sour programs to provide solution in a more rapid time line. We have very, very high confidence in not only filling up Libby 2 with sour gas, but because of the full sweet, sour gas, crude and water solution that we provide, we will need to expand processing capacity earlier than our previous expectation around sour.
Operator: Your next question comes from the line of Vikram Bagri of Citi.
Vikram Bagri: I wanted to ask about SRE cash. When does it hit the balance sheet? I was wondering if you've done the RIN sales with deferred delivery already or you're going to sell RINs in open market and liquidity will be there?
Avigal Soreq: Yes. So Vikram, thank you for joining us today. We'll stick to the answer we gave in the prepared remarks that we expect to see the cash in the 6 to 9 months, and we leave the technical of trading outside of this call. And we are very happy about the improving of the position and very optimistic about SRE in general, and we'll leave it to that.
Vikram Bagri: And as a follow-up, you've raised the guidance. It has been raised multiple times, the EOP cash savings guidance. Can you talk about what the drivers of the most recent increase were? What initiatives you've taken? If there has been any change in underlying assumptions that drove the increase or you've seen opportunities and where those opportunities are?
Avigal Soreq: Yes. Thank you for asking that question. That's really something I'm very proud and love to talk about. I have a lot of energy around the topic. Listen, first of all, EOP, it's not a project, it's a lifestyle. And it's a lifestyle across the organization. And we see how well it runs across our company and how confident we are with that, right? It's not just cost, it's cost and margin. We've seen a very nice improvement in margin this quarter. And we have 73 initiatives we are running on a weekly and a daily basis to make that happen. It's very clear in our earnings, very clear in our EBITDA, very clear in our cash flow. So all of that has cleared very, very well for us. A majority of those projects are in margin, but they are not related for the most part for market conditions. So that's another point of strength in our program. As you said correctly, this is the fourth time we are increasing the guidance. We started from a midpoint of $100 million, and now we are saying over $180 million, and that's going very well for us. So more to come. I do want to make another important comment. We started Q4 very well, and we see more upside on that going into this quarter.
Operator: Your next question comes from the line of Alexa Petrick of Goldman Sachs.
Alexa Petrick: We wanted to ask, it looks like the wholesale side was particularly strong this quarter. I think you mentioned some structural improvements, and we know it's also been part of the EOP initiative. So can you unpack that a little, talk about some of the progress there?
Avigal Soreq: Yes, absolutely. The bottom line is that's a bigger portion of the EOP progress we are doing. And I will let Mohit, that was very close to that, answer the rest of it.
Mohit Bhardwaj: Yes. I think wholesale is a great enterprise optimization plan story, and we have been improving the business in 3 phases. The first phase started by with our refining operations, and we started producing a lot of different kinds of products that we can sell in the market. We improved our logistics to get access to different kinds of markets, and that has helped our Wholesale business over the last 12 months or so. In the second phase, we started renegotiating our contracts. So these contracts have been renegotiated, and they are getting us the full value that our products deserve, based upon the markets that we serve. And the last phase, the Phase 3 in which we are, hopefully, it's not the last phase, but it's the Phase 3 in which we are. We are exiting some of the markets which are not as profitable for us, and we are entering new markets which are more profitable for us. And a combination of this strength is shown in our numbers. And as Avigal mentioned, that this strength has continued in the fourth quarter, and we expect to keep delivering these results on a go-forward basis.
Alexa Petrick: And just a follow-up, recognize we're still early into 4Q, but we're seeing cracks hold in pretty well. Anything we should keep in mind quarter-over-quarter on captures? Or what are you seeing through your refiners?
Avigal Soreq: Yes, absolutely. So we are focusing on what we can control and what we can control is EOP. And as I said earlier a few minutes ago, Q4 on an EOP basis started very well for us, and we are very optimistic about how Q4 is shaping out. Mohit, why don't you finish?
Mohit Bhardwaj: Yes. And Alexa, Joseph mentioned in his prepared remarks as well that distillate is a big piece of what we produce. We have a very high distillate yield. Distillate cracks are showing strength. So we are very optimistic about how the fourth quarter is panning out.
Operator: Your next question comes from the line of Paul Cheng of Scotiabank.
Paul Cheng: The third quarter, I mean, wholesale at $70 million and the supply at, say, $50 million to $60 million. Can you help us to understand that how much is related to your EOP and how much is being given to you from the market? In other words, that what is, say, core repeatable within that -- those 2 numbers? That's the first question.
Avigal Soreq: Okay. So I think we have a slide on that in our deck that emphasize, if memory serves me right, around $40 million or so for market condition and the rest you can allocate to EOP. And as I said earlier, Paul, and you probably heard it loud and clear that Q4 looks very good from EOP standpoint. And the $60 million of EOP is something that we are very proud of.
Paul Cheng: So Avigal, so let me make sure I understand. So out of that $120 million that on the supply and the wholesale, $40 million is from the EOP -- $40 million is from the EOP, and then, say, $80 million is from the market?
Mohit Bhardwaj: Yes. So Paul, you got those numbers wrong. Let me just try to clarify it for you very quickly. The $40 million is the market impact. And as I said in the last -- answer to the last question, wholesale is the one which is driving it. We are seeing a lot of structural strength in the business. We have seen this trend continue in the fourth quarter. And we have clearly highlighted what the market impact was. There's obviously seasonality in it, because second quarter and third quarter are stronger than the fourth quarter and first quarter, but we've seen the fourth quarter strength continued from the third quarter this year. And as far as the specific division is concerned, I can take that offline with you post the call.
Paul Cheng: And just curious that with the SRE, is that going to impact in your how you run El Dorado and Krotz Springs? I suppose that you want -- you probably want to keep your crude throughput for those 2 facilities to be below 75, even when the margin is very high. Is that how you're going to run it or that you're going to look at them somewhat differently? Because if the margin is really good, it may be better off for you not to get the SRE and still get a better margin. So I want to understand that how is the decision-making tree is going to look like?
Mohit Bhardwaj: Yes, Paul, thanks for that question. I'll try to answer this question as well. So we've seen -- you've seen our history. We have stayed in full compliance with the law, and we intend to stay in full compliance with the 2025 RINs obligation, RVO obligations as well. As far as the throughputs are concerned, our throughput guidance is very clear, and it is based upon the usual fourth quarter seasonality that we experience.
Operator: And your last question comes from the line of Jason Gabelman of TD Cowen.
Jason Gabelman: I just wanted to go back to the supply and trading results, because, I guess, it's still kind of not completely clear how much is structural in nature. And historically, you've talked about some of the wholesale and supply strength related to Group 3 pricing over the Gulf Coast. So how much of the 3Q result and going forward is sensitive to that spread versus other improvements that you've made?
Mohit Bhardwaj: Jason, thanks for the question. So as I've mentioned in the previous answer, our whole idea of enterprise optimization plan is to reduce our dependence upon things like that, the one that you just described, like dependence -- excessive dependence upon Group 3 market or any specific market. Once you reduce that dependence, these changes become extremely structural, and that is what we are seeing. So the $70 million that you saw, obviously, it has helped from the seasonal benefit as far as wholesale is concerned. But as far as structural part is concerned, we are very, very confident, and that's why we are seeing the strength continue in the fourth quarter. And as far as if you have more questions in terms of divisions, and how much is flowing through the numbers, I can take that with you offline as well.
Jason Gabelman: And sorry, I may have missed this earlier, because I didn't completely hear the question. But in terms of the monetization of that $400 million, can you talk about kind of upside and downside risks to hitting that $400 million number?
Avigal Soreq: No. I think $400 million is a good number to model, and we'll leave it to that. Obviously, we're going to keep, as I said in my prepared remarks, we're going to keep the capital allocation policy we have, a very strict dividend throughout the cycle, balanced approach to dividend -- to buyback and balance sheet. And I think the market knows by now that we had a very, very good quarter, a very, very good year in terms of return to investors. We are very proud of being the first one among all of our peers, and we are very committed to keep rewarding our shareholders.
Operator: That concludes our Q&A session. I will now turn the conference back over to Avigal for closing remarks.
Avigal Soreq: Thank you. I want to thank my colleagues around the table for a great quarter. I want to thank our Board of Directors of trusting on us. I want to thank our investors in this call of keeping up with the story, and enjoy the fruits of it. And I want to mainly thank our entire employees that make this company as good as it is. We'll talk again in the next quarter. Thank you.
Operator: This concludes today's conference call. You may now disconnect.